Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources Q1 2014 Earnings Conference Call. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, Friday May 09, 2014 at 09:00 AM Mountain Time. I would now like to turn the meeting over to your host for today’s call, Mr. Doug Proll, Executive Vice President of Canadian Natural Resources. Please go ahead, Mr. Proll.
Douglas Proll: Thank you, operator and good morning. Thank you for joining our first quarter 2014 conference call. Today we will discuss our financial and operating results for the quarter, provide an update on certain projects including Kirby South, Horizon Phase 2/3, Primrose, and the completion of asset acquisitions undertaken in the first quarter. With me this morning are Steve Laut, our President; and Corey Bieber, our Chief Financial Officer and Senior Vice President of Finance. Before we begin, I would remind you – would refer to the comments regarding forward-looking information contained in our press releases, and also note that dollar amounts are in Canadian dollars and production reserves are expressed as before royalties, unless otherwise stated. I would like to make a few brief comments before turning the call over to Steve and Corey. Cash flow from operations amounted to $2.15 billion for the quarter, or $1.97 per share. This was an increase of 37% over the first quarter of 2013 and a 20% increase over the fourth quarter of 2013. Net earnings and adjusted net earnings from operations for the first quarter were also very strong at $0.57 and $0.85 per share respectively, up significantly over the first and fourth quarters of 2013, demonstrating the cash flow and profitable growth potential over strong and diversified asset base. The quarterly cash flow was driven by new levels of production from each of primary heavy Pelican Lake crude and North American NGLs and light crude, and the continued safe reliable of SCO at Horizon. We also realized significantly higher net backs for crude oil and natural gas driven by a higher WTI and dated benchmarking prices and lower heavy oil differentials for Western Canadian Select and higher natural gas pricing in the quarter. Our product mix continues to diversify where light oil and natural gas liquids and SCO represented 32% of BOE production. The components of our Western Canadian Select’s product stream including primary heavy Pelican Lake and bitumen crude was 39% and natural gas was 29%. We continue to execute on our capital allocation formula. Capital allocation to maximize the value of our diverse asset base for profitable growth, returns to shareholders to sustainable dividends and share purchases, nimbly executed acquisitions in our core areas, and the maintenance of balance sheet strength. These elements were all present in the first quarter of 2014. I will now turn you over to Steve for the synopsis of the quarter and the outlook for 2014.
Steve Laut: Good morning everyone and thanks, Doug. The first quarter was a strong quarter for Canadian Natural as we continue to build a premium value defined growth independent. We’re one of the few companies in our peer group that has diversified and well balanced assets that deliver free cash flow on a sustainable basis. Our direct results of Canadian Natural is proven and effective strategy that optimize capital allocation to maximize value, surely has effective balance not only in our assets but in our capital allocation between asset growth near, mid and long term, return to shareholders and balance sheet strength. This gives Canadian Natural a clear advantage compared to our peer group. Canadian Natural advantage starts with our strong, free cash flow generating conventional assets. Canadian Natural’s conventional assets are the backbone and the underlying driver of our transition to our longer life, low-decline asset mix that providing the funding for the transition. Our conventional assets generating free cash flow and at the same time, we’re able to grow potential volumes in the 2% to 4% range. The transition to long life low-decline assets in Horizon, our thermal in-situ assets and our Pelican Lake is well underway providing significant and sustainable cash flow. As production ramps up from these assets, Canadian Natural’s free cash flow grows rapidly and is much more sustainable, as reserve replacement costs for these assets is very low. Both thermal and Pelican are today generating significant and sustainable free cash flow. As our free cash flow ramps up, Canadian Natural is eventually balancing the allocation of free cash flow to our priorities. Our first priority is to resource development and in 2014 we expect to allocate roughly $400 million to Horizon, to capture additional cost certainty. In addition, we’ll allocate another 425 million to the E&P business. Our second priority is to return to shareholders, dividends and share buybacks. As you know dividends have increased for the last consecutive 14 years and since Horizon Phase 1 has come on-stream has increased it at 35% CAGR. We bought back roughly $320 million worth of shares in 2013 and year-to-date has bought back 2.1 million shares. Share buyback levels have ranked us top-tier in our peer group. Thirdly, to opportunistic acquisitions and the recent Devon assets and other asset acquisitions we have made in 2014 are optimistic or opportunistic, and clearly demonstrates our ability to be nimble. They are also optimistic as well. Fourthly to debt repayment, our balance sheet is very strong, and after recent acquisitions it still remains strong and it’s the last priority for free cash flow allocations. Canadian Natural strategy works and we continue to balance the allocation or free cash flow effectively. Operationally, we are sound and delivering. At Horizon, both reliability and production performance have been strong. Our expansion at Horizon is going well and we’ll bring on Phase 2A adding 12,000 barrels a day in 2014 versus the 2015 original plan. Kirby South came ahead of schedule and on cost and the reservoir performance is tracking to expectations, with production expected to ramp up to 40,000 barrels a day by year-end. Our primary heavy oil program continues to roll on effectively and efficiently delivering some of the highest returns on our portfolio. At Pelican Lake, Canadian Natural’s leading edge polymer flood continues to perform in long life low-decline value. At Septimus, our mining development is running smoothly, we’re about a 112 million a day and 900 barrels a day of liquids. In addition, we have effectively executed the number of asset acquisitions in the first quarter, the largest being the Devon acquisition. Integration is proceeding smoothly with all the technical and operational folks moved into our office on April 1st, and the financial folks moved in on May 1st. Overall, 2014 production growth is strong targeted at 21% at midpoint of guidance. If all differentials expected to average 20% to 23% range driving very good heavy oil pricing, with current indications point towards the lower end of this range. And gas prices are looking good for 2014 as a result of a cold winter, and the need to rebuilt storage levels this summer. Operating costs are up somewhat from Q1 2013. This was driven mostly by fuel price increases for natural gas, propane and diesels, all commodities we are long in. The other major factor on the E&P side, the cause of costs were higher in Q1 was higher sand production in our primary heavy oil wells, sand production essentially owned and [inaudible] capacities. As a result, some additional third parties was utilized. We’re optimizing our sand and expecting it will use less or a very little third party as we progress through the year. Now Horizon had an unusual number of well tiers and VFT replacement in OPP that caused cost to be higher. We don’t expect this to be reoccurring. Op costs are normally higher in the first quarter and will decline as we move through the year, and we expect still be within guidance for the year. As a result, the targeted cash flow for 2014 at the current strip will be between $10.4 billion and $10.8 billion generating between $1.8 billion and $2.6 billion of free cash flow. Significant free cash flow that grows and becomes more sustainable as we continue our transition to longer light low-decline asset mix. Our capital program has been revised, reflecting the significant increase in free cash flow and the opportunistic acquisition made in 2014. Our capital spending increased by $425 million as we allocated additional capital to the following; $200 million has been allocated to the properties acquired in 2014. This includes capital for facility consolidation and optimization, maintenance and required regulatory work, recompletions and some drilling. We’ll also complete the module fabrication work for the third year plan; $125 million allocated to an existing E&P assets mostly for new and heavy oil, waterflood optimization, production optimization and we’re Pelican Lake that approved to be very beneficial. There is another $100 million for international which is mostly FX related plus increased cost for the South Africa exploration well, resulting in a capital contribution by Canadian Natural of $30 million. We also, at this point, expect to spend additional $400 million to Capital for the Horizon Phase 2/3 expansion as market conditions are still favorable. As a result, the total capital budget for E&P business is $8.2 billion and $8.6 billion excluding property acquisitions of $3.5 billion. Canadian Natural’s assets are strong, our balance sheet is strong. We’re effective, efficient operators, our strategy works and most importantly, we have strong teams committed to delivering value. Turning to our assets, beginning with thermal in-situ heavy oil, Canadian Natural’s heavy oil assets are vast. We have 97 billion barrels in place and we expect to recover 10.6 billion barrels. Canadian Natural is executing a step wise plan to lock the huge value of this asset base of bringing on 40,000 barrels a day to 60,000 barrels a day every two to three years, taking production facility capacity to 510,000 barrels a day or 0.5 million barrels a day all at a 100% working interest. Kirby South is our first major site step in our siting[ph] development plan as you know we do ahead of schedule in 2013 and on cost. The reservoir is performing as expected with no surprises, and we expect Kirby South to ramp up to 40,000 barrels a day by year-end. April production came in at 14,000 barrels a day. Kirby North is our next 40,000 barrel day step and we’ll have pre-built infrastructure to Kirby North Phase 2 expansion and potentially an optimization with gulfs[ph]. Kirby North will start with 56 well pairs with steaming dates expected in Q4, 2016, subject to regulatory approvals. The cost of constructed drill complete and tie in 56 well pairs will be $1.54 million or $36,250 per barrel. This is higher than a Kirby South cost of 30,000 barrels a day and largely reflects additional wells drilled in Kirby North compared to Kirby South and the pre facilities for future expansions. We’re also following Kirby North for the 40,000 barrel a day facility. The geology, engineering and regulatory work on [inaudible] is proceeding to plan. Kirby South, Kirby North all contributed to a transition to a longer life low-decline asset mix. At Primrose, our second steam production was lower and within guidance as expected in Q1 due to the normal timing of production cycles and curtailment of production at Primrose east. In Q2 our guidance has increased to 98,000 barrels a day to 108,000 barrels a day reflecting a normal production cycles, coincidentally with a stronger demand for heavy oil in Q2 and Q3. Production from March was 117,600 barrels a day, and April was 105,000 barrels a day. The cleanup of the seepages experienced in 2013 is complete on all four sites. Our causation review is nearing completion with significant data collected. All data collected to-date points the root cause of the well board failure in legacy wells. Other potential root cost failure mechanisms are possible however, no data is collected to date directly indicates that these are likely failure mechanisms that comprised the massive Colorado shale that is the ultimate cap rock and allowed the seepage to occur. The seepage at Primrose are a tactical and operational issue. They are truly solvable and the solution to prevent seepages is the same for all problem mechanisms that could cause this issue. Canadian Natural implement of plan going forward that will prevent seepages for all potential failure mechanisms, even directorate substantiates potential failure mechanism. In summary, we’re confident in the cause of seepages. The cleanup is complete. Our causation review is coming to a close and the solution going forward is robust. We’re confident that this solution will prevent seepages to recurring in the future. The production guidance for 2014 remains unchanged. However, at this point it is likely that we’re going to be closer to lower half of production guidance than the top half. Even at the bottom end of guidance, we delivered an impressive 23% production growth as Kirby production ramps up to 40,000 barrels a day by 2014 year-end. At our world-class Pelican Lake pool, our leading edge polymer flood is driving significant reserves and value growth. We have over $4 billion barrels of oil in place and expect to recover 550 million barrels with polymer flood. In Q1, Pelican sheet another record quarterly production of 48,000 barrels a day at 26% increase over Q1, 2013 reflecting a good production response for the polymer flood. Pelican Lake is a great example of Canadian Natural’s ability to develop and implement new technology, while Canadian Natural’s not only preserve for reservoir but develop a leading edge polymer flood to increase recovery and drive the increasingly effective and efficient operations. Canadian Natural’s primary heavy oil assets are excellent. We are the largest primary heavy oil operators in Canada with over 8,500 locations in inventory, due to the large part through a highly integrated and strong teams we have excellent capital efficiencies and lower operating costs making primary heavy oil one of the highest return on capital projects in our portfolio and generating significant free cash flow. In Q1 production was a record 142,000 barrels a day, up 7% from Q1 2013. As expected, heavy oil differentials narrowed significantly in Q1 from high of $39 a barrel in January to $21 at March to average 24% of WTI, down from the 33% seen in Q4 of 2013. Going forward, we expect to see strong heavy oil pricing with April differentials at $22.47 barrel and May and June indicating $19 and $18 a barrel respectively. We expect the 2014 year average to be in the 20% to 22% of WTI. Canadian Natural’s light oil program continues to drive good value from the horizontal wells, waterflood optimization and increasing NGL productions driving record quarterly growth at Q1 at 75,900 barrels a day, up 16% over Q1 2013. We target light oil NGL production to grow 29% in 2014, and this includes the light oil of NGL volumes from Devon and other asset acquisition we’ve made in 2014. In Q1, international production decreased to 27,500 barrels a day, mainly due to the shut in of the Baobab FPSOs was installed a permanent warning line repairs and a shutdown at Tiffany platform. North Sea drilling is underway with two drill swings as a result of successful ounces. That work will we have a secured drilling rig to complete the 11 gross 5.9 net in built well drilling program, targeted to start September 2014, and we’ll add 5,900 BOEs a day when complete. At Baobab, we have secured a rig to drill six gross 3.5 net in built well drill program that is targeted to start fueling late 2014 early 2015 and when complete, it’s targeted to add 11,000 BOEs a day of production. In we will initiate exploration activities in 2014. Côte d’Ivoire we’re targeting deep water fan systems similar to the field in Ghana. On Block 514, we have a 36% interest exploration well has been drilled and has discovered the presence of light oil. This is very good news and improves the presence of light oil in the area. Data from this will now be evaluated if the delineation well should be drilled and if so, where? Potential structure site is in a 0.8 billion to 1.4 billion barrel range. The fact of heavy oil present on Block 514 is positive for our Block 12. Canadian Natural operates with 6% interest. We completed the seismic operations and we’ll go seismic 2014 of potentially drill exploration well in 2015. Our deepwater South Africa exploration block, the rig has been mobilized to keep Cape Town but some modifications were made to rig before drilling commences. The [inaudible] for this exploration wells has been revised to 210 million which means Canadian Natural has contributed $30 million to the first exploration well. As a reminder, the South African exploration block contains five significant structures with sizes up to 1 billion barrels. Turning to Horizon, our world class oil science mining operations where we have 14.4 billion barrels on ground, with just under 6 billion barrels of oils recovered. In the first quarter, production averaged 113,095 barrels a day, slightly better than the fourth quarter production of 112,000 barrels a day which followed an equally strong third quarter also roughly 112,000 barrels a day. April production was just under 119,000 barrels a day and 118,857 barrels a day. With safe, steady reliable operations, we’re targeting production of between 114,000 barrels a day and 119,000 barrels a day in Q2. Reliability improved substantially. We’ve been able to live quarter over quarter increases in reliability for Horizon. Our unutilized cash fee from the absolute day capacity of 120,000 barrels a day at Horizon has steadily improved since our turnaround in May 2013. In Q3 of 2013, quarter following unutilized capacity was 7.8%. Q4 2013, it was moved to 6.5% and Q1 2014 it was 5.7%. We made significant progress. We’re now just below our target of 6%. However, we’re not done yet, and now expect ever increasing reliability as we progress to 2014 as well as improve production optimization. The Phase 2B expansion has been going very well because of the script progress we’ll complete the base II an expansion or corporate expansion ahead of the 2015 turnaround. The tie end is still on target for September 2014. Completed this tie end, steam day capacity will increase to 133,000 barrels a day adding 13,000 barrels a day of steam and depending on unutilized or utilization roughly 12,000 barrels a day of sales capacity. We’re still on track for this tie end and detailed plans are essentially complete to ensure that effective and efficient time. At the end of Q1, the expansion reached the 37% physical completion point with each individual pays progressing to plan as outlined in the press release. With our detailed engineering complete, we had decided to preserve the opportunity to allocate additional $40 million to Horizon, if the construction market conditions remain favorable and achieve costs certainty and savings. Our base plan has spending $2.5 billion between phases and up to $2.9 billion if conditions remain favorable. At this point, conditions are still favorable and we expect to execute additional $400 million of project construction. Canadian Natural is the second largest natural gas producer in Canada. We have a very large land base and effective and efficient operations. Gas prices have strengthened and we’ve seen that in 2014 and Canadian Natural is in great shape. Our vast asset base in conventional and non-conventional gas, our high quality infrastructure have all maximized the benefits of higher gas prices, and if we choose a quickly and efficiently increase gas production at very effective costs. We’ve added this strong asset base in the first quarter another opportunistic acquisitions we can drive additional value with the opportunity to add value in the future. Required assets are largely operated as only one facility in infrastructure, and are very good to Canadian Natural’s existing assets and infrastructure. The acquisition of these assets makes good sense for Canadian Natural. They are a very good fit with Canadian Natural’s land and infrastructure, and we’ll be able to achieve synergies on a combined operations to enhance operational effectiveness and efficiency. The Devon assets have significant royalty revenue of $35 million. This provides Canadian Natural an opportunity to combine the significant role in revenue on these assets for Canadian Natural’s current royalty income on our existing assets which are targeted on a combined basis to deliver between 140 million and 150 million of pretax cash flow in 2014. We’re making a good progress integrating the Devon royalty assets, and making sure we get a more detailed understanding of the associated land base and opportunities for future value creation on these royalty lands. Once complete we’ll look at the option to monetize the combined CNQ and make a Devon royalty exchange which could either be a direct sale or via separate vehicle. We’re targeting decision for the potential options for later this year. The acquisition of these assets make sense, it’s opportunistic and demonstrates Canadian Natural’s ability to be nimble and most importantly has value to near, mid and long term. Canadian Natural is in great shape. Our balance and reserve basis is the largest in our peer group. Our reserve base ranks with global industry players and delivers significant cash flow. We were able to leverage our high quality land base infrastructure in our traditional assets are also generating significant free cash flow with funds to development our long life low decline asset base. We’re developing our vast high quality long light low decline resource space in a very disciplined manner and locking similar values and sustainable cash flow. Cash flow is increasing and is becoming even more sustainable as we move forward. 2014 Canadian Natural free cash flow is significant at 1.8 billion to 2.6 billion at strip pricing. [inaudible] additional free cash flow to allocate to our priorities balancing effect with dividends, share buybacks, optimistic acquisitions and debt repayment. As the ring on the next stage is our long life low decline assets, free cash flow will rise to a sustainable $5.5 billion to $6.5 billion a year by 2018, assuming of course stable commodity price, economic and regulatory environment. Canadian Natural’s ability to grow from our asset base as well as grow a sustained free cash flow is one of the key factors that differentiates us from our peer group and is unrivaled in my view. With that, I’ll turn it over to Corey to talk about our strong balance sheet.
Corey Bieber: Thank you, Steve and good morning to everyone. As Steve noted, our quarterly cash flow was about $364 million higher than the previous quarter. This reflected sequential production growth, narrower heavy oil differentials, stronger natural gas pricing and generally higher realizations due to the weaker Canadian dollar. Further, as we sold all the crudes that we have produced in offshore Africa, reported cash flow would have been approximately $50 million higher. However, due to the nature of FPSO operations and the timing of entitlement liftings, no crude oil sales incurred during the first quarter. This value will be captured in second quarter of 2014. This strong first quarter cash flow facilitated both the robust capital program and the additional return of cash to shareholders. As you’re likely aware, our April 1, 2014 dividend payment was $0.225 per share this was $0.10 or 80% greater than the $0.0125 paid on April 1, 2013. In addition, year to date we have purchased over 2.1 million common shares at an average price of $37.86 per share. Our balance sheet remains strong with quarterly debt to EBITDA of 1.1 times and debt to book capitalization exiting at 28%. Liquidity exited the quarter at about $4.6 billion, having been bolstered by a dual tranche US$1 billion note issuance and US$1 billion bilateral loan agreement with a major Canadian bank. Of course, as you are aware on April 1st, we closed a major conventional property acquisition for approximately $3.1 billion. This has temporarily increased our debt to book capitalization to 34% still well within our targeted ranges. Based upon revised production and capital guidance as well as current strip rating, I would anticipate this ratio will reduce back down to around 30% by year-end. And it is worth noting that this 30% forecast ratio did not consider any impact from the potential disposition of the combined royalty revenue streams from Canadian Natural’s legacy and acquired assets. This combined royalty revenue stream, as noted, fairly produces annual pretax cash flow between $140 million and $150 million and growing. As Steve noted, we’ll continue to review the various options and value propositions for the monetization of this dream. The outlook for the remainder of 2014 and beyond looks strong. Second quarter production midpoint guidance of approximately 780,000 Boed represents 14% increase over first quarter levels. Further, revised annual midpoint guidance of about 814,000 Boed represents an increase of 21% compared with 2013 average production. As noted in the press release, commodity prices remain robust with indicative heavy oil differentials of 19% expected in Q2 compared with a 24% in Q1, and SCO premiums averaging in a positive $1.50 a barrel versus a discount of $2 in Q1, ‘14. I believe that the combination of our strong production profile in this current pricing environment will combine for what looks to be another strong quarter and indeed a robust 2014. That being said, we’re also cognizant of our potential downsize price risks. We continue to maintain a capital program that forwards the flexibility to reduce spending in the unlikely event in the major price event. Also underpinning cash flows are prudent hedge program. For the remainder of 2014, we currently have about a third of our liquids productions hedged with Brent collar of $81 and further 16% hedged to WTI collars with the $77.50. We have started to build a position into 2015 as well with 8% hedged on a Brent basis at a floor of $80. AECO pricing is supported with $3.10 or GJ puts and about 43% production in collars on a further 12% of production. More detailed information regarding the nature timing and pricing of the hedge programs is available on our website. In summary, I believe Canadian Natural is financially strong and has a well thought out plan for our ongoing creation of shareholder value. This plan is complete with the optionality to both protect and downside and to proactively take advantage of the opportunities when they arise. With that, I’ll hand back the call to Doug for his closing comments.
Douglas Proll: Thank you, Steve and Corey. Operator, I would like to open the call for some questions please.
Operator: All right. [Operator Instructions]. Your first question comes from David McColl from Morningstar. Your line is open.
David McColl – Morningstar Inc.: Hey good morning everyone. Solid quarter and thanks for taking my questions. You mentioned the favorable construction environment right now for Horizon. I wonder if you’re concerned at all the development of Redwater and granted that’s in the Edmonton area. But if you are concerned that the development of that could cause some price inflation for the ongoing work at Horizon, especially as some of your peers ramp up development of their oil wells and mining projects?
Steve Laut: Thanks David. That’s a very good question and we keep very close tab as you’d expect, on the construction market, also the procurement and engineering side of the business of what’s going on. I think we are in a like we say favorable market condition. We’re ahead of the pack here. We’re doing mechanical and electrical work here with most of that ahead of us. So the civil and the structural work is largely done. So we are in front of the pack and so we think that any activity that’s going to be coming from Redwater, Redwater is quite a bit behind us and some quarters as well now bunch of activity. So we think we have a window here at least a year if were things heat up and we’re using different services or different part of the construction market and at least those two players will be in the near term.
David McColl – Morningstar Inc.: Okay. Great. Thanks that helps.
Operator: Next question comes from Amir Arif with Stifel. Your line is open.
Amir Arif – Stifel Nicolaus: Hi. Good morning guys. Just a few quick questions first, just on the improvement of your pricing market I noticed that you did added another 10,000 barrels of basis such as 4Q. But can you just provide some color or commentary about your ability to lock in more of your heavy oil growth volumes that are coming online in terms of the [inaudible]?
Steve Laut: Thanks, Amir. As you know that market is pretty liquid, so we sort of step into it very slowly. So I think it’s difficult to really see us at a lot of volumes to our hedging on the differential, but if the opportunities arise and the pricing is right we will catch some more but yet again it’s a very liquid market so it’s difficult to do anything in any kind of size.
Amir Arif – Stifel Nicolaus: Okay. And on Horizon, just given your current reliability on the 12,000 barrels a day being added in September unless you pull your guidance and change it, is there any kind of turnaround coming in the second half or is it just a conservative guidance number?
Steve Laut: No I think that guidance was set all along with the September shutdown, and the production we expected here this year. So where we end up in that guidance were yet to be seen but right now we feel pretty confident as you see reliability is strong at Horizon. The execution of the high end the – is pretty much set to go and we’re looking forward to an effective really well down tie end. At this point we don’t need to raise the guidance I think we’ll be within the guidance it might creep up, but we’re within guidance right now.
Amir Arif – Stifel Nicolaus: But Steve, so there is no turnaround or anything else coming for the second half?
Steve Laut: What’s happening is corporate expansion work done we’re trying to take advantage when we shutdown tie-in to do some turnaround type works like check pressure vessels and change PSVs and things like that.
Amir Arif – Stifel Nicolaus: Okay. Then last quick question on South Africa is that I missed your comment, can you just what’s the estimated cost of the wells timing and results on your prequel estimate – resource estimate?
Steve Laut: So we think there is five structures on those block well there are five structures. They rise in size up to 1 billion barrel in structure size. The first well we drilled here in Q3 so the rig is in on its way to keep down right now and it will go through some modifications. And once that’s complete we’ll commence drilling. The original cost was expected to be about 150 million and that’s been revised up to 210 million. And most of that is just allowanced and continue to see waiting on weather. So just to give us more cushion on the weather and with that increased cost assessment, if it comes in about on a capital contribution Canadian Natural has to make this well is $30 million.
Amir Arif – Stifel Nicolaus: Okay. And the first well is that targeting the 1 billion barrel the larger prospect?
Steve Laut: Yes, it’s going for the big one first.
Amir Arif – Stifel Nicolaus: Okay. Thank you.
Operator: Next question comes from Benny Wong from Morgan Stanley. Your line is open.
Benny Wong – Morgan Stanley: Thanks. I think you mentioned earlier that you guys might hit the bottom half of your guidance I’m sorry if I missed it. But can you provide a little bit color around that?
Steve Laut: What I said Benny was I’m talking strictly about the thermal production. So overall we’re looking good but on thermal itself, we may come closer to bottom end of the guidance and that’s really driven by the regulatory timing when we get ready for approvals to go back into Primrose. So that’s a little bit up in the air. So we’re seeing based on where we are now, we think I’d say it’s the better chance that we’ll be below the midpoint rather than be above the midpoint for thermal productions only.
Benny Wong – Morgan Stanley: Got it. Thanks for clarifying. And can you just tell me how you think about your buyback? Are you guys thinking on opportunistic approach or do you guys have a target and place in mind?
Steve Laut: I’ll let Corey answer that question.
Corey Bieber: Sure. I think it’s a combination of both obviously. What we have ongoing pace that we’ve been pretty regular in the marketplace on but you will have noticed that we’re probably more aggressive when the price is lower when is higher. That being said, we’re still active in the market place.
Benny Wong – Morgan Stanley: Great. Thanks.
Operator: Next question comes from Greg Pardy of RBC Capital Markets. Your line is open.
Greg Pardy – RBC Capital Markets: Thanks. Good morning. Just a couple of quick ones for me. The Horizon turnaround in 2015 Steve would that be three weeks in September or is it going to be more extensive?
Steve Laut: The turnaround in 2015 is scheduled right now for May 2015 and it will be in that 25 day range.
Greg Pardy – RBC Capital Markets: Okay. Thanks for that. The increase in that gas drilling is that mainly related to Devon and then you talked about optimizing operating costs? Or is there any price signal here that’s causing you to feel better about joint gas wells than you did before?
Steve Laut: I think Greg as you notice we are allocating lot more capital to the assets we purchased which are mostly gas and some as well. But a lot of that capital really only 70 million of it I would say volume adding capital and riding about 5,000 or 5,200 BUEs. Most of it is for the between that modules for 70 million plus we’re doing a lot of let’s say consolidation, regulatory and integrity work on the assets we brought so what we’re going to get here mostly for this is operating cost savings going forward that’s the plan mostly here in 2014 for the assets we acquired.
Greg Pardy – RBC Capital Markets: Okay. And what is your sense now? I mean I know you alluded to the expectations we’re going to have higher gas prices going through the year but are gas prices and eco prices all of them now that whether those projects begin to continue with primary heavy or how you’re thinking about that?
Steve Laut: Right now, obviously our liquids rich developments that mark in the accept us in other areas in some of our deep basin drilling and some of the deep basin drilling we got from the acquisitions would compete with heavy oil. I wouldn’t say competes with primary heavy oil but it competes with some of our light oil projects but it’s a tough competition. So we continue to reevaluate and high grade all our capital allocation. But the amount of drilling that’s actually happening increased drilling with these acquisitions is not that much I think we’re going from 61 to 66 wells in 2014. So it’s not a big drilling it’s mostly consolidation of cost savings and optimization.
Greg Pardy – RBC Capital Markets: And just last question for me, how much impact was there on your Canadian OpEx just altogether most in the oil equip side just related to the gas prices? Is that something like $0.25 or $0.50 a barrel?
Steve Laut: I would say it’s more like that $0.45 BUE just for natural gas and these obviously at Horizon had a big impact.
Greg Pardy – RBC Capital Markets: Okay. Great. Thanks very much.
Operator: [Operator Instructions]. Your next question comes from Mike Dunn with FirstEnergy. Your line is open.
Michael Dunn – FirstEnergy Capital Corp: Good morning everyone. Just wondering if you could spell us how these royalty lands combined your legacy lands and Devon can you just spell it for us what the production growth has been over the last couple of years. And I have a follow up question.
Steve Laut: I’m going to give you a range Mike because obviously we’re not totally on top of all the we’ve just got here trying to combine that Devon royalty asset. But I would think what we’re seeing on our commercial raise is probably in that 5% to 10% range and I would say this on the Devon assets particularly on the Kindersley area we’ve seen much more growth in that and fairly significant growth. So I think that’s one opportunity with the land base we have to see that royalty growth continuing in the future. So I hesitate to say what the growth on the Devon legacy assets are royalty assets are because it’s really unfolding quickly and there’s been a lot of exciting well development in that area.
Michael Dunn – FirstEnergy Capital Corp: That’s helpful. Thanks. And just a separate question on Pelican Lake, sounds like you’ve increased the budget there a little bit this year. If we go back few months ago your original budget you were thinking a bit of timeout this year to sort of watch and observe. Has the performance so far I guess the last few months made you feel like may be you’re ready to reaccelerate the development there, a little bit earlier or do you think you’re course of 2014?
Steve Laut: I think Mike, we’re feeling pretty good about Pelican Lake obviously. We’re hitting record production wells there and we’re exceeding our expectations but I think what we’ll do is we’ll continue to watch for 2013. So it’s all real good news so as we are going through the capital allocation cycle here in the fall it will probably mean it will continue to look at how much capital comes to Pelican and these positive results helps allocating more capital to Pelican. We’re not going to commit to that until yet until we get past the summer.
Michael Dunn – FirstEnergy Capital Corp: Okay. Thanks, Steve. That’s all for me.
Operator: And final question will come from Tai Lee with [inaudible]. Your line is open.
Unidentified Analyst: Thanks. I know you tended aside with your trying to do a royalty assets, but I’m just wondering some part in your internal evaluation of those assets are going to psych your decisions. Because I’m thinking if you’re trying to maximize shareholder value you might want to IPO it as you think you are overvalued by the market or may be spin it out fair valued or undervalued?
Steve Laut: Thanks for the question. And I think you got it exactly right we are going to look at all options and we’re going to choose the option that we feel will maximize value for shareholders. So we’ll look at all possible options.
Unidentified Analyst: Thanks.
Operator: I have no further questions. Thank you. I will turn the call back over to speakers for closing remarks.
Douglas Proll: Thank you, operator, and thank you ladies and gentlemen for attending our conference call. As you’ve seen today, Canadian Natural has a strong and diverse asset base across the balance of production and is growing well developed plan for the systematic development of this asset base. We concentrate on safe, efficient and reliable operations and a strong financial position supported by readily available liquid resource. We are focused on profitable growth through the development of our balanced asset base and returns to shareholders in the near, mid and long term. If you have any further questions, please give us a call. Thank you again and we look forward to our second quarter conference call in August.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.